Operator: Good morning. My name is Dorvin, and I will be your conference operator today. At this time, I would like to welcome everyone to Novanta Inc. Second Quarter 2024 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Ray Nash, Corporate Finance Leader for Novanta. Please, go ahead.
Ray Nash: Thank you very much. Good morning and welcome to Novanta's second quarter 2024 earnings conference call. This is Ray Nash, Corporate Finance Leader for Novanta. With me on today's call is our Chair and Chief Executive Officer, Matthijs Glastra; and our Chief Financial Officer, Robert Buckley. If you've not received a copy of our earnings press release issued today, you may obtain it from the Investor Relations section of our website at www.novanta.com. Please note, this call is being webcast live, and will be archived on our website shortly after the call. Before we begin, we need to remind everyone of the safe harbor for forward-looking statements that we've outlined in our earnings press release issued earlier today and also those in our SEC filings. We may make some comments today, both in our prepared remarks and in our responses to questions that may include forward-looking statements. These involve inherent assumptions with known and unknown risks and other factors that could cause our future results to differ materially from our current expectations. Any forward-looking statements made today represent our views only as of this time. We disclaim any obligation to update forward-looking statements in the future, even if our estimates change. So, you should not rely on any of these forward-looking statements as representing our views as of any time after this call. During this call, we will be referring to certain non-GAAP financial measures. A reconciliation of such non-GAAP financial measures to the most directly comparable GAAP measures is available, as an attachment to our earnings press release. To the extent that we use non-GAAP financial measures during this call that are not reconciled to GAAP measures in the earnings press release, we will provide reconciliations promptly on the Investor Relations section of our website after this call. I'm now pleased to introduce the Chair and Chief Executive Officer of Novanta, Matthijs Glastra.
Matthijs Glastra: Thank you, Ray. Good morning everybody, and thanks for joining our call. Novanta delivered another quarter of outstanding operating results in the second quarter of 2024. Our teams delivered revenue, profit and cash flow performance above our expectations and prior guidance in a challenging market environment. For the second quarter, we delivered $236 million in revenue, which beat our previous guidance and represents reported growth of 3% and a decline of 5% on an organic basis. Adjusted gross margins were 47% as core businesses expanded margins by over 100 basis points year-over-year, offsetting the dilutive effect of the Motion Solutions acquisition. Adjusted EBITDA was $51 million beating our expectations and prior guidance. Operating cash flows was very strong for the fourth straight quarter at approximately $41 million, which represents 57% growth year-over-year. This operating performance reflects excellent execution by our teams in a difficult market economic environment. The sticky Novanta business model with diversified exposure to long lifecycle customer platforms in secular high growth markets has proven resilient, under multiple geopolitical and market economic scenarios. Our proprietary technologies are well-positioned in medical and advanced industrial applications with long-term secular tailwinds such as Robotics & Automation, Minimally Invasive & Robotic Surgery and Precision Medicine. At this time, we see the following themes in our end markets. Overall, we're seeing improving momentum in our business, but with mixed visibility depending on the end market. Medical device technology markets continue to be robust and appear likely to stay strong all year and into 2025. The life sciences markets including precision medicine applications are experiencing more prolonged weakness in capital equipment demand by our customers and their customers than previously expected. This is being reported on by many other major players. Although signs of a recovery materializing are certainly there, we expect it to start materializing our results in 2025. Industrial capital spending overall also continues to remain muted due to the interest rate and regional economic challenges. The larger impacts we've seen in Europe and China consistent with contracting PMIs in Europe and China. At this stage, despite an improving industrial capital spending environment in the U.S., we're not expecting a broad-based market recovery until 2025. However, there are some bright spots appearing within Advanced Industrial. U.S. Robotics & Automation markets are seeing improved demand as evidenced in our recent booking’s growth. And microelectronics end markets are showing solid signs of a rebound with multiple players predicting a strong recovery ramping up at beginning of 2025. These spots of growth coupled with new product timing in lithography, are leading indicators of a broader recovery and therefore a stronger 2025. Our outlook for customer demand for the full year of 2024 now reflects the latest view of these end market dynamics. In the second half of the year, we continue to expect accelerating momentum for Novanta on the back of our new product launches, many of which are focused on the medical device end markets. While this momentum will not be partially offset by the more prolonged weakness in life science and industrial applications, that result still will be a return to organic growth year-over-year in the third and the fourth quarter, albeit at a lower growth rate than we previously expected. Despite this near-term challenge in the demand environment in 2024, the fundamentals of Novanta remain very much intact. We continue to stay focused on the things we can control, which is reflected in our Top three priorities for 2024 which are: First, launch a record set of new products. Second, expand margins and cash flow using the Novanta Growth system. And third, continue to acquire additional companies that fit our strategy at attractive returns. And I'm proud to say our teams are executing really well at expanding margins and driving profit and cash flow. As a result, despite a slower revenue ramp-up, we still expect to deliver adjusted EBITDA and adjusted EPS results for the full year, mostly in line with our previously full year guide. Robert will cover more details on our financial guidance in a few minutes. Turning back to the second quarter, we saw further improvement in our bookings activity with bookings growing 12% sequentially and our book-to-bill was 0.95%, which is up versus last quarter, driven by improved bookings in microelectronics, robotics & automation, and medical devices. Going into more detail for the second quarter of 2024, sales to medical markets made up approximately 58% of total Novanta sales and grew 13% versus the prior year on a reported basis and also grew 2% on an organic basis. We saw strong growth in multiple application areas particularly in medical device technology applications. However, this was partially offset by softness in some precision medicine applications and a $2.04 million organic growth headwind after discontinuing our surgical displays product line, which we discussed in our last earnings call. Turning to Advanced Industrial Markets, for the second quarter sales to Advanced Industrial Markets excluding our microelectronics applications were down 11% year-over-year on a reported basis and down 15% on an organic basis and made up approximately 34% of total Novanta sales. The subdued sales performance across this end market was in line with our expectations due to the interest rate environment and regional economic challenges. While these trends are expected to continue for longer, the 2025 outlook for these markets remains strong and signs are materializing to support that view. Novanta is positioned in many attractive applications in the advanced industrial sector, which are driven by secular growth trends such as Industry 4.0, robotics & automation and precision manufacturing. Finally, speaking to our microelectronics applications. These represented just 8% of sales in the second quarter and sales were roughly consistent sequentially, representing a modest increase in year-over-year sales growth. Across all our end markets, we continue to stay focused on gaining content and share with intelligent subsystems into multiple high growth application areas. A new product pipeline is geared towards intelligent sub-systems and strategic growth area applications such as minimally invasive surgery, robotic surgery, next-generation lithography, precision medicine and manufacturing application and advanced motion solutions for robotics and automation applications. Now let me touch on some of Novanta's strategic growth metrics. For our design wins, we saw solid design win activity in multiple businesses, particularly with our customers in medical end markets, as well as robotics and automation end markets. For new product metrics, we continue to confidently lean in with a record amount of new product launches in 2024, up more than 50% versus 2023 with more scheduled for 2025. This position us to deliver our goal to $50 million of revenue in 2025 from new product launches, which are incremental to Novanta's current product offerings. We are already seeing some of its incremental revenue in 2024, as multiple new product launches are already ramping their sales. These new products should help Novanta to continue to deliver attractive long-term organic growth for many years to come. Our Vitality Index, which is sales from new products launched in the past four years, in the second quarter was still at about mid-teens percent of sales, but it improved by several percentage points from prior quarter. Sequentially, the second quarter saw a 30% increase in new product sales versus the first quarter. This was in line with our expectations and the gradual ramp of new product launches. As stated before, we expect our Vitality Index to rebound to above 20% as we launch and ramp our pipeline of new products. I want to highlight five new product platforms we have launched since our last call, which we will begin ramping in the second half of 2024 and are expected to make strong contribution to our 2025 results. First, the Precision Elephant III, a uniquely differentiated laser scanning sub-system. This enclosed five-axis precision sub-system controlling both the location and angle of incidence is uniquely positioned for precision manufacturing applications in micro machining, medical, automotive and semiconductor markets. Second, another launch of our second-generation smoke evacuation platform by our minimally invasive surgery team. This time with a major medical OEM who is a global leader in endoscopy. At this point, we're now a vendor to every major medical endoscopy OEM in the world, and are well-positioned in an exciting accelerating growth category. Third, the launch of a new endoscopic pump platform with a smaller but fast-growing OEM. This is the first step in our strategy to expand in endoscopic pumps, where our share is still relatively low. We are leveraging our insulator playbook, expertise and customer relationships to drive growth in endoscopy pumps, which we expect to become one of our next growth engines beyond insufflation. Next, the smallest UF RFID module in the market, ideal for small foam factor and portable RAIN RFID readers that are used to identify and track items in healthcare, manufacturing and retail. And finally, our RIP Miniature Absolute Encoder with cloud-leading small size and ease of installation for advanced robotics applications in medical and industrial markets. We are on track for the remaining product launches in 2024, as well as some planned launches in 2025 with some launches dependent on customer timing. We will share more details as we progress further into the year. Finally, I'd like to give a brief update on Novanta's acquisition activities. The integration of Motion Solutions remains on track. We continue to be impressed with our team, the customer intimacy and our excellent innovation capabilities, and we're pleased with how well our teams are integrating together. Although the softness in life science equipment end market is having a near-term impact on Motion Solutions' product sales, we believe the thesis for the transaction is intact and progressing well, and we're excited to start seeing this business realize its growth potential as the markets eventually recover. Field motion Solutions' new acquisitions continue to remain Novanta's top priority for capital allocation. We have a strong pipeline of potential targets. Our balance sheet is strong positioning us well to execute on additional transactions. Therefore, you should expect us to continue to be active in the marketplace in 2024. In summary, in the second quarter of 2024, Novanta achieved very good operating results in a difficult macroeconomic environment. We beat expectations for sales, margins, EBITDA and cash flows. We have multiple new products which are beginning to ramp up and the integration of Motion Solutions is progressing nicely. Overall, another strong quarter for the company and we're well-positioned for a strong 2025. With that, I will turn the call over to Robert to provide more details on our operations and financial performance. Robert?
Robert Buckley: Thank you, Matthijs, and good morning, everyone. Our second quarter 2024 non-GAAP adjusted gross profit was $110 million or 47% adjusted gross margin compared to $108 million or 47% adjusted gross margin in the second quarter of 2023. Adjusted gross margins were roughly flat year-over-year. Excluding the impact of Motion Solutions acquisition, our adjusted gross margin was up roughly 100 basis points, in line with expectations. Our gross margin expansion continues to be largely driven by the Novanta Growth System deployment in our factories and our commercial teams. With the second quarter, R&D expenses were roughly $24 million or approximately 10% of sales. Second quarter SG&A expenses were approximately $45 million or 19% of sales. Adjusted EBITDA was approximately $51 million in the second quarter of 2024 or a 22% adjusted EBITDA margin versus $52 million in the prior year. On the tax front, our non-GAAP tax rate for the second quarter of 2024 was 20%. Our tax rate remains on track to our estimate of 18% for the full year. Our non-GAAP adjusted earnings per share was $0.73 compared to $0.80 in the second quarter of 2023. Our EPS growth remains muted due to higher interest rates on a higher debt balance. Second quarter operating cash flow was approximately $41 million compared to $26 million in the second quarter of last year, an increase of 57% year-over-year. We are pleased with the improvement in cash flows and expect to continue this momentum by rigorously managing our net working capital and driving strong operating profits. We ended the second quarter with gross debt of $485 million with a gross leverage ratio of approximately 2.4 times and our net debt was $387 million. We remain on track to reducing gross leverage to 2 times or below by year end. I'll now update the performance of our operating segments. First, I'll speak to Precision Medicine & Manufacturing segment. Second quarter sales declined by 14% year-over-year in line with guidance. The book-to-bill in this segment was 0.81%, which is up sequentially from a 10% sequential increase in bookings. Adjusted gross margins in this segment were down year-over-year, largely driven by lower factory utilization from the lower sales volume. New product revenues was approximately mid-teens percent of sales in line with the company average. Design wins in this segment were down year-over-year, driven by weakness in the industrial capital spending markets and timing of new product development activities in EUV and DUV applications. We expect to see gradual improvements in design wins in the second half timed with the new product introductions and our customers' activities. Turning to Robotics & Automation segment. This segment experienced a revenue decline of 6% year-over-year in the quarter, also in line with our expectations and represents a sequential improvement. The overall book-to-bill in this segment was 1.2 times, demonstrating a sequential recovery in robotics and automation markets, particularly microelectronics, medical, mobile robotics and humanoids. Bookings grew 40% year-over-year and 29% sequentially. Adjusted gross margins increased 80 basis points year-over-year, driven by strong factory efficiencies on increased volumes. New product revenue was roughly 12% of total sales for the segment. Design wins in this segment were up strong double-digits year-to-date and we expect to see continued progress here as the year progresses. Finally, in Medical Solutions, the segment experienced reported revenue growth of 25% year-over-year and a 1% organic growth. Excluding the impact of discontinuing our surgical displays, revenue growth would have been up mid-single digits. This is in line with our expectations and prior guidance. The segment saw a book-to-bill of 0.88 times and bookings were roughly flat sequentially and year-over-year. Bookings in our minimally-invasive surgery business line were up 30% versus the prior year and 10% sequentially. Bookings for our Precision Medicine line were down 30% versus the prior year and down 13% sequentially. Weakness in Precision Medicine is from a weaker anticipated capital spending environment in life science, multiomics and bioprocessing markets, whereas the growth in bookings in our minimally invasive surgical business line is tied to launch of our second-generation smoke evacuation insufflators, which remains on track with expectations. The Vitality Index in this segment remains in the mid-teen’s percentage sales level. We expect this metric to continue to accelerate as we ramp up our products. Design wins in this segment were up strong double-digits year-to-date. Adjusted gross margins in the segment increased roughly 50 basis points year-over-year. Excluding Motion Solutions, the margin expansion in this segment was over 300 basis points. Now turning to our guidance. When we guided our full year back in February, we based it on customers' expectations for sales growth in their businesses over the course of the year. The upper end of the range anticipated sequentially improving life science markets with a more stable capital spending environment, coupled with easier comparison to the second half of the year, whereas the bottom end of the range anticipated no sequential improvement in life science markets and therefore only modest growth for the year. This range considered both organic growth as well as the revenue contributed from Motion Solutions, which is now also looking at a reduced outlook due to the same dynamics in the life science markets. While Novanta still see sequentially improving revenue from new product introduction accelerating in the second half and a stronger medical device end market, this improvement is now partially offset by a weaker capital spending environment in both industrial and life science markets. For industrial capital spending, the markets in Europe and China have deteriorated further from the first half of the year. This is evident in the recent weakness and further drops in European and China PMI measures. As we stand here today, we're not expecting these markets to recover this year. Furthermore, we are seeing an addition step-down in demand for capital equipment sales into life science, multiomics and bioprocessing markets, which is obviously off of an already low revenue level. While our customers are seeing signs of a market recovery in the second half of this year, the capital equipment sales are still expected to be deferred as our customers' customers shift dollars into services, assays, consumables and other non-capital equipment purchases. On the positive, this uptick in drug discovery and development activity is a leading indicator of an improving capital spending sentiment. Coupled with expected interest rate declines, capital equipment demand in 2025 is expected to improve. Elsewhere in our portfolio, we are seeing many positive tailwinds. New product revenue is accelerating. Demand in microelectronics is beginning to recover. Robotics & automation orders in the U.S. are accelerating and the medical device market, particularly around our minimally-invasive surgical products continues to stay robust with our products gaining further traction in the market. Unfortunately, the strong positive demand trends in our business cannot overcome the headwinds elsewhere. Based on this dynamic, we are trending to the lower end of the revenue guidance we provided in February. For the full year 2024, we now expect GAAP revenue to be at the bottom of our previously communicated revenue range of $9.75. This represents reported revenue growth of greater than 10%. Revenue from current year acquisitions is expected to decline from a prior estimate of nearly $90 million to approximately $80 million. Therefore, full year organic growth expected to be low single-digits at approximately 2%. Revenue growth in the second half is largely driven by new product revenues, a robust medical device end market, some recovery in microelectronics and a better capital spending environment in the U.S. robotic space. For the third quarter of 2024, we expect GAAP revenue in the range of $241 million to $244 million. This represents organic revenue growth between 1% and 2% on a year-over-year basis and up sequentially 3% to 4%. The third quarter is returning to growth, albeit at a lower rate than anticipated due to the dynamics, I talked about. On the segment level, in the third quarter, we expect precision medicine and manufacturing revenue decline on a low double-digits percentage basis year-over-year and to be roughly flat on a sequential basis. We expect this segment to return to modest year-over-year growth in the fourth quarter and expect sequentially improving revenue to accelerate. This segment is impacted by both the industrial capital spending environment and from life science weakness in capital spending. Our Robotics & Automation segment revenue is expected to grow 17% to 18% year-over-year in the third quarter, representing both an improving demand environment from the first half of the year as these end markets start to show solid signs of recovery largely in the U.S. We expect strong double-digit organic growth in the fourth quarter as the end market continue to improve and also from easier year-over-year comparisons. Finally, our Medical Solutions segment is expected to show year-over-year growth of 19% to 21% reported revenue growth, driven by the Motion Solutions acquisition. On an organic basis, we expect low to mid-single-digits decline year-over-year. Excluding the impact of discontinuing our Surgical Display product line, the organic revenue would have been flat year-over-year. While the new product introductions of our minimally invasive surgical business line continue to see broad market adoption, this is offset by high single-digits declines in our Precision Medicine business line from the before-mentioned dynamics in the life science market. However, in the fourth quarter, this segment is expected to deliver greater than 30% reported revenue growth and high single-digits to low double-digits organic growth, as new products continue to ramp up in our minimally invasive surgical business overcoming the weakness in the life science markets. Moving on to adjusted gross margins. For the third quarter, we expect a range of 47% to 47.5%. In this segment, we expect gross margin to be flat or up compared to the gross margins they delivered in the second quarter. For the full year of 2024, we now expect adjusted gross margins to be approximately 46.6% to 47%. Our current outlook gives us confidence to raise the bottom-end of the range by 60 basis points versus what we communicated in February. We expect the margin performance of our core business to continue to overcome the dilutive impact of the Motion Solutions acquisition. This is strong evidence of the team's ability to execute using the Novanta growth system to drive structural cost and quality improvements and other efficiencies. We expect R&D and SG&A expenses in the third quarter to be approximately $68 million to $69 million and approximately $275 million to $278 million for the full year. Depreciation expenses, which were $3.5 million the second quarter should be roughly $4 million in the third and fourth quarter. Stock compensation expense, which was $6.2 million in the second quarter should be approximately $7 million in the third and fourth quarter. For adjusted EBITDA for the third quarter, we expect a range of $56 million to $58 million which will represent double digit growth year-over-year and a greater than 23% EBITDA margin. For the full year of 2024, for adjusted EBITDA, we now expect a range of $215 million to $222 million which will demonstrate double-digits growth year-over-year and represent the company delivering EBITDA margin greater than 23% in the second half. Interest expense is expected to be approximately $8 million in the third and fourth quarter. We expect our non-GAAP tax rate to be around 18% for the third and fourth quarters similar to the full year of 2024. However, we are carefully watching both the jurisdictional mix of income and changes to the Pillar 2 adoption rules, both of which could increase our tax rate slightly from this estimate. For adjusted diluted earnings per share, we expect a range of $0.85 to $0.89 in the third quarter. For the full year of 2024, for adjusted diluted earnings per share, we now expect a range of $3.20 to $3.35. Our current outlook gives us confidence to raise the bottom end of the range by $0.10 versus what we communicated back in February. Finally, we expect cash flows to continue to be strong in the third and fourth quarters following the continued momentum from the past several quarters as we continue to rigorously manage our net working capital levels, improve our profitability and pay down our debt. Until we make new acquisitions, we plan to continue to use cash flow to pay down existing debt and reduce our gross leverage, putting us in a strong position to execute on the next acquisition. As always, this guidance does not assume any significant changes in foreign exchange rates and we are not factoring in any significant geopolitical disruptions that can negatively impact the macroeconomic climate. While we continue to work through a challenging macroeconomic environment, we are encouraged by the strength of our new product introductions, the strength of our medical device end markets and some signs of some market recoveries and an improving acquisition environment. The organization's business execution continues to improve with the broad adoption of the Novanta Growth System, which is evidenced by the strong financial execution in the past two quarters as well as the dramatically improving customer lead times and improving product quality levels. However, this is also evident in the strong and improving gross margins, EBITDA and earnings per share and cash flow for the year. We continue to attract and retain the best talent, bring our leaders that -- bringing on leaders that allow us to dramatically scale the business in the coming years. And finally, despite some pauses in capital spending, we expect to demonstrate very strong financial results in the second half of the year, positioning us well for an even stronger 2025, due to new product launches and the breadth of our end market exposures. It is important to emphasize our guidance for revenue in the second half translates into flat to slightly up organic revenue growth in the third quarter and double-digits positive organic revenue and reported revenue growth in the fourth quarter. This supports our view that, we are well-positioned for a much stronger 2025. To wrap up, we are proud of Novanta's performance in the second quarter, which showed excellent execution by our teams. We delivered revenue, profit and cash flow performance above our expectations in a challenging operating environment. This performance was a testament to the resiliency of our portfolio, and the tenacity of our teams to achieve great results, no matter the business environment. This concludes our prepared remarks. We'll now open the call up for questions.
Operator: Thank you very much. [Operator Instructions]. The first question comes from Lee Jagoda from CJS Securities. Please go ahead.
Lee Jagoda: Hi, good morning guys.
Matthijs Glastra: Good morning, Lee.
Lee Jagoda: I guess to start on the life sciences bioprocessing space, can you give us some more context around what gives you the confidence that things are kind of turning? I know you had mentioned not going to turn till '25, but things are kind of turning. And then obviously, when you bought Motion Solutions, it gave you a head start into some of the secular trends that you're hopeful will materialize over the next several years. What are the other tools that you're still looking to acquire to kind of bolster that position further?
Matthijs Glastra: Yes, Lee. What we're seeing is basically our customers' customers are starting to order basically the consumable parts of the business, which means that the activity is improving in this space. It's just the capital part of the market is just not yet improving. And we actually see that double dip weakness that we talked about. But as you can see, multiple of our customers are actually talking about an improving climate, albeit not as rapid as people expected, but it's incrementally improving on the non-capital side. And we feel that is a leading indicator for the capital side. Therefore, we feel in 2025 that, we will be an improving outlook, of course, the timing of which is a bit uncertain. We are looking though, just to structurally manage our business through the cycles. And also, we'll introduce new products and gain new customer slots and further expand the Motion Solutions business. We're positive about the space in the medium-term.
Robert Buckley: And then, I would add to that. I think, Lee, as you think about all this stuff is associated with capital equipment launches by our customers or capital equipment they're selling into the marketplace. That's obviously going to have some interest rate sensitivity. An improving interest rate environment in the back half of the year and into 2025 actually gives us greater confidence that you'll see a faster return. In addition to most of the drugs being launched into the U.S. and European markets are based on biologics and biologics require these new types of technologies, including the genomics, proteomics and other types of multi-omic-based technologies that you hear a lot of our customers talking about.
Lee Jagoda: Great. And then, gross margins were ahead of expectations and expected to be ahead of expectations. Are there specific drivers of that improvement? And is any of that a pull forward, meaning should we kind of temper our expectations for margin expansion next year? Or, is everything continued to be on track?
Robert Buckley: I think things continue on track. We were anticipating driving 47% gross margin. We are on track to accomplishing that despite the dilutionary impact of Motion Solutions. As we get into next year, we're still continuing to expect to drive robust internal gross margins, -- gross margins. Obviously, Motion Solutions growth characteristics could have a dilutive impact on that for one final year. But overall, I think the business is on a strong track for 2025. It is being driven by the Novanta Growth System. We're driving that deep into our different business units. We're driving productivity improvements in our factories, material cost downs with the products that we sell to our customers. In addition to that, we have captured some price. We're not expecting to lose any of that price as we get into 2025. And we see additional opportunity to decrease our operating footprint to drive additional benefits there. We feel pretty good that we have this pathway to continue to improve gross margins, eventually driving it up to that 50% level. Everything remains on track, and I think the last couple of years demonstrates that.
Lee Jagoda: Sure. And then, one more quick one for me if I can. Just, Matthijs, I think in your prepared remarks, you've mentioned the $50 million incremental opportunity from new products in 2025. I don't know, if it's semantics or not, but I think prior it was the $50 million from the insufflation product lines. Is there any change there?
Robert Buckley: No. I think we've been pretty consistent, and I realize there's been some confusion. I mean, we have said that there was the gross number of $50 million for the minimally invasive surgery product line that includes insufflation. But there's another $50 million which I spoke about in this script, which we have been speaking about in the last, I would say, four to five earnings calls, which is the total revenue from new products, the incremental total of new products revenue is $50 million. So that is net of any end of life of all the products generating. So that is really incremental to Novanta's product offerings. And so, it's the absolute amount of revenue from new products we will realize next year. It's not though the year-over-year variance, right? So just to be clear, because we realized that maybe there has been some confusion there. Hopefully, that's clear. And of course, some of this benefit is happening already in '24 because some of the products are ramping right now, right, as we shared in the prepared remarks. But the larger impact will be, of course, in 2025 because, a, the ramps are further progressed, and b, we of course have the full year effect of these ramps. Hopefully that is clear. It will of course include smoke evacuation. Inflation is a large driver, but it's not the only driver, which is why we're excited about it. It's much more of a broader set of new products contributions that are included in that incremental $50 million total revenue.
Lee Jagoda: Great. Thanks, very much.
Operator: The next question comes from Brian Drab with William Blair. Please go ahead.
Brian Drab: Hi, thanks for taking my questions. If I had just listened to the comments on the call, so much detail from Robert. I might have been left with the impression that guidance changed quite a bit, but I just want to make sure I have this right. The beginning of the year, the initial guidance was $975 million to $1 billion for revenue, midpoint like $987.5 million and you are moving away from $10 million in revenue from the display business, which would take the midpoint, if I was just using midpoint to $977.5 million. And now today, we're at $975 million. Is that right way to think about that? I know there's so many other moving parts, but am I missing anything with that display adjustment?
Robert Buckley: Yes. I think the easiest way to think about it is, there's $10 million lower Motion Solutions and then there's also an element of the display business. So, in the Motion Solutions, it's $10 million less because the precision medicine end markets, life science tool end markets are not materializing the way that customers had anticipated. It is fair to say that, we gave a guidance range, which I talked about $975 billion to $1 billion and we're at $975 million right now. So, the bottom end of the range based on the fact that, the life science tools are taking a little bit of a double dip in the back half of the year. And that's most representative in our Motion Solutions business. There's, of course, a little bit of a dilutionary impact from the display business. At the same time, we're getting stronger growth in the inflators that are being launched in the back half of the year. And so, there's a minor offset to that discontinuance of that product line. And then I would also emphasize that, from a profit perspective, we're above where we were kind of on the higher end of the range that we provided at the beginning of the year. So, from a pure profit, the businesses are doing a good job to drive that stronger gross margin that's flowing down to a much stronger EPS and then obviously a strong cash flow as well.
Ray Nash: I mean, the EBITDA margin barely changed and you took the low end of the EPS up, I see that. I guess at the beginning of the year, maybe, the aspiration is obviously to get to the high end of the range. And then I think your comments were, if things get worse, so then maybe we get to the low end and it's kind of, things got a little worse in life sciences than everyone expected. But still no major changes.
Robert Buckley: Yes. It's just the capital equipment piece, I would say. So, it's as -- has talked about, there is -- if you listen to the earnings calls of the people in the end market, they're all talking about a lot of pickup in activities there. But if you dissect it, it gets into the assays and services, the consumables associated. So effectively, activity in the labs and activity in the manufacturing space has increased in the back half of the year, and now it's just about when does the capital start turning on. Part of that is as you introduce new drugs and part of that is an improving environment increases the utilization requiring and a capacity expansion.
Brian Drab: Okay, thanks. And then clearly, some of the more impactful upcoming product launches or current product launches are in the MIS business, in that end market, which is doing really well. But are you seeing any risk to any of the new product launches or timing related to some of the macro?
Matthijs Glastra: Yes. I think, listen, there is -- we spoke about some pluses or minuses in the past. Of course, you see certain customers being impacted by the macro and they're pushing things out and certain other launches are running a little bit better-than-expected. Right now, the average we feel is right there where we want to be. And I think the diversification of the amount of products that we're launching is also helping. But, yes, I mean, listen, there are, you can clearly see that the certainty has not improved macro rise in, let's say, the last few weeks months. So, yes, that might have an impact on timing. Right now, we're not seeing this. As we're sitting here today, our customers are still on average kind of tracking to that, and that's why we're reconfirming that number.
Ray Nash: And to be fair, I would just say that the bulk of the new products in the back half of the year associated with the minimally-invasive surgical business. So, it's associated with more of the insufflators and other types of products going into the OR suite.
Brian Drab: Right. Got it. And, I'll accept a no comment on this, but I'm just going to ask it. As you look into 2025 and you think about the new products and you're going to be exiting the year, you said again a double-digits organic revenue growth. Can you just comment on how visibility you have to that double-digits organic revenue growth persisting into 2025?
Robert Buckley: Yes. I think you're very astute that, if you're growing at a double-digits in the fourth quarter, you kind of run rate that forward, then it's tough to see how you wouldn't at least deliver about a 10% growth in 2025. I think, that's -- we would say as we sit here today, given the uncertainty in the different environments and then recovery rates and so on and we feel pretty good regardless of that about 10% in 2025, but I think we will continue to monitor and get back to you over the course of the year, as we see how the life science tool market unfolds, how the industrial recovery happens and if there's any other disruptions that occurred due to geopolitical factors in the marketplace.
Brian Drab: Okay. Thanks, very much.
Operator: Thank you. We have the next question from Rob Mason with Baird. Please go ahead.
Rob Mason: Yes. Good morning. I understand this question could be at the risk of asking you to repeat yourself. Could you walk through again just, what would the major peaces that drive the sequential increase in revenue in the fourth quarter versus the third quarter that we should be looking for?
Matthijs Glastra: Yes. So, I think if you look at the individual segments, if you're going, one of the drivers of the increase, maybe that's the easiest way of looking at it, is we got precision medicine and manufacturing up high single-digits, robotics & automation up mid-single-digits and medical solutions up low double-digits. So obviously medical solution will be the solutions will be the larger element of it. So, if I summarize it, the sequential uptick is really new product introductions, which the largest segment of which is materializing in the medical solutions area, continued strength in the medical device demand, which is around hospital capital spending, which is for the large part remains on track. So, the backdrop of new products going into a very strong hospital capital spending market around the OR based technologies. And then continued strength in the robotics & automation and even a little bit of microelectronics we are seeing some order book strength there. And then if you go back and look at the bookings, the bookings somewhat support that now that robotics & automation up high single-digits sequential improvement is supported by a stronger book-to-bill that's expected to maintain as we get to the back half of the year. And then similar to medical solutions, despite having a step down on the precision medicine side, there's a step up on the hospital capital spending. And so, that's all kind of supported by that. We have factored in the double dip in life science tools and the weaker industrial outlook, but obviously, we can't factor in if the macro environment falls off a cliff. So, what we can feel confident of is that, we can maintain the profitability outlook for the full year. And we have a lot of nice moving parts that come with new product introductions in the right spaces at the right time. And so that's where you see the largest step-up happening.
Rob Mason: That's helpful. And then just, you noted the Robotics & Automation bookings did accelerate sequentially. Can you pull that apart a little bit as well? Just how much of that sequential acceleration in bookings was related to the medical portions of that business, relative to the industrial and maybe even relative to the microelectronics piece sequentially?
Matthijs Glastra: Yes. I can take that, and then we can -- Robert will further add to it. Listen, I mean, within that market, you see puts-and-takes. Of course, the medical side continues to be solid. And on the other side, of course, and I think many players have reported on that, just a very slow automotive and EV battery environment. And we're seeing that as well. But what we're seeing as well is, kind of in other industrial robotics markets, some sort of momentum, so humanoids, warehouse automation, but also momentum from recently-launched products. So that's kind of what we're seeing, and those are kind of the drivers of the growth that Robert talked about. And Robert, I don't know if you want to further add to that.
Robert Buckley: Yes. No, I think that's a good characterization. So solid medical, actually pretty decent semi/microelectronics, and then an impact or an uptick in kind of the smaller robotic space. Whereas, the offsets would be big industrial robotics, down in automotive, down in EV, down in battery. But the net, net of that is the other areas are growing stronger. Now they benefit from the fact, as Matthijs said, that, there's new products happening in the same exact space.
Rob Mason: Okay. And maybe just one last question there. Remind us again what portion of Robotics & Automation is industrial versus medical?
Matthijs Glastra: Actually, we've never gotten into that breakout before. I will -- and I understand you've asked that question before. It's a good question. I will have to get back to you on how we do that in a consistent manner. Let me get back to you on that.
Rob Mason: Okay. Thank you.
Matthijs Glastra: Thanks, Rob.
Operator: Thank you. This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Matthijs Glastra for any closing remarks.
Matthijs Glastra: Thank you, operator. To recap, Novanta had outstanding operating performance in the second quarter. We beat expectations for sales, margin, profit and cash flows, and we made great progress on our top priorities. This came despite some challenges and near-term softness in some of the end markets we serve. We see our business improving sequentially, and we continue to expect accelerating momentum for Novanta on the back of our new product launches. We also made great progress in integrating the Motion Solutions acquisition, which will be an attractive long-term growth platform for us. Novanta remains well-positioned in the medical and advanced industrial end markets with diversified exposure to long-term secular macro trends in Robotics & Automation, Precision Medicine, Minimally Invasive Surgery and Industry 4.0. We're excited for the large product launches starting over the next few quarters. We will continue to focus on additional design wins in high-growth applications, as well as doubling down on the Novanta Growth System to continue to drive strong cash flows and gross margin expansion. In closing as always, I would like to thank our customers, our employees and our shareholders for their ongoing support and continue to be especially grateful for the dedicated efforts of all of our Novanta employees who work diligently every day, taking on new challenges and striving to make the company a great place to work. We appreciate your interest in the company and make the company a great place to work. And we appreciate your interest in the company and your participating in today's call. I look forward to joining all of you in several months on our third quarter 2024 earnings call. Thank you very much. This call is now adjourned.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.